Mahendra Negi: So this is the First Quarter Summary Results. The revenue has grown by 2%, and the operating profit has increased by 24% and operating profit margin is growing nicely. And we will be presenting another slide to explain this in detail. But out of this operating profit due to the stock price increase there are some remuneration linked to the stock price is included here. So if the stock price does not go up and then practically, there is an increase of 34%. But the recurring profit, minus 9%, main reason is due to the translation loss of the exchange rate because of the lower dollar, higher yen, there was some translation loss, and that is posted here. And pre-GAAP is minus 8%, and this is totally different from the previous quarter. So what is happening, so that is explained by using this slide. And that is mainly coming from the consumer business of minus 27%. And the reason for that, well, already in our fourth quarter last fiscal year, as we have explained in our earnings results meeting, there is the EC payment across the company in overseas digital company and this function is nonfunctional effectively. So in order to avoid any inconvenience to our customers, we have extended the renewal license by 2 months. So 2 months in the first quarter for overseas, there is almost non sales posted there. But in May, we have replaced with a new vendor and has started to be posted. So we are going to go back to the normal in May. So there is no changes after May. So that's the major reason for this big drop in consumer. And as I have mentioned earlier, the increase in stock price 1.2 billion this variable bonus is included here. So in reality, there is an increase of profit by 34%. And this is the full year forecast. So first quarter we are in line with our plan for the revenue and the operating income. And the pre-GAAP as I mentioned earlier, the fourth quarter last year and the first quarter this year, there is a very big gap. And Kevin will explain about this later on. But the revenue for the enterprises, there is uncertainty in the macro environment, and that has been impacting the first quarter result, we believe. And then enterprise ARR, the subscription has seen a double-digit growth. And the details will be explained by Kevin later on. And the cash flow, this is growing nicely as well. And the number of headcount there is a slight decrease. I have made exactly the same comment, but the reason for this decrease in headcount is because of having a flat organization using the new technology, we are trying to turn our organization to be more flat organization rather than like a tiered organization to improve the productivity. And this is the cost changes. Comparing this to the previous quarter, this yellow, that is the personnel cost that is a very big ticket item in the cost. This bonus portion compared against the previous quarter there is about JPY 3 billion difference, the cost on top part of this bar, stock options related cost, the reason why this is growing is because of this JPY 1.2 billion foreign exchange related cost. And we are using cloud more effectively now, so the cloud cost is decreasing. So the highlight for the first quarter is, so we have actually achieved a record high quarter operating profit and OP margin is continued to improve. And this is the full year forecast. As I mentioned earlier, this is in line with our expectation. There are some macroeconomic uncertainties, but this is the full year forecast or the guidelines that we are having. So this concludes my presentation. Thank you very much.
Kevin Simzer: Hi, everyone. My name is Kevin Simzer. I'm the Chief Operating Officer for Trend, and I'm here to give you an update on our Q1 performance from a business standpoint and maybe a little bit of insight on how we're tracking for the year and our north star business model we refer to as the Road to 2027. If you've been following us at all, you will have seen us with several announcements in and around sticking to our DNA, all things about threat and further cementing our strategic alliance relationship with NVIDIA by working deeper and deeper with that organization. From a Q1 2025 results standpoint, you already heard from Mahendra, net sales were up 2% year-over-year in actual currency, in the Enterprise division, up 5%, and in the Consumer division, minus 8%. There's more details to come in each one of the businesses. But I think the headline here is we actually finished our net sales results a little bit above our internal plan, which was nice to see. But equally exciting or even more exciting was the fact that we drove our operating margin up to 22%, which was far exceeding our internal plan metrics. So doing a nice job of finding the growth and driving the operating margin improvement. From a total company recurring revenue standpoint, sitting at USD 1.7 billion, up 3%, but you can see that the growth has been coming from that large Enterprise segment. We are working diligently on both the small enterprise and consumer. And right now, we're seeing the results, the performance in the large enterprise, but it will come. We made substantial improvements on our north star business model. And you can see here's a Q1 update just to give you a sense, driving that top line, but improving our gross margin and improving -- reducing our operating expenses in all 3 categories, R&D, sales and marketing and G&A. So doing a really nice job of finding the right balance between our investments. Of course, it's all about our platform, the most comprehensive cybersecurity platform on the planet, unique in its capabilities where not only do we support a version that runs in a hyperscaler, but equally important right now is that we actually continue to support an on-premise version. And I can tell you with the current global geopolitical dynamics, that is very relevant and increasing. Also unique is the fact that not only are we going after threat actors with our proactive security starts here where we can be much more predictive at where you need to be making the investments. We're also helping the CFOs in the enterprises that we're selling to in that we can show how you can do a more effective job of stopping threat actors and save money along the way. It's not just us bragging about this platform. It's certainly recognized by the leading industry analysts across the globe. New for this quarter is The Partners Choice award, us giving us the top accolade from Canalys, that incredible industry analyst that is really focusing on partners and how you're doing it, enabling an overall ecosystem. So we were real honored to receive that. Okay. Let's jump into the enterprise business in a little bit more detail. So this is the enterprise business from a net sales perspective in a constant currency, to give you an idea through apples-to-apples, how we performed in the enterprise business across the globe. And you can see growth across all regions, which was nice. We definitely experienced some headwind in the U.S., in particular, that's why the Americas at plus 2% was a little bit below our internal plan, numbers that we were targeting. We certainly saw as a result of many of the things going on inside the U.S. government that there were just projects that were paused, some even canceled and a great deal of sort of uncertainty, and that hit our U.S. government business. It also bled over into the U.S. enterprise business because many of those enterprises are also supplying to the U.S. government. The rest of the regions all finished on their plans. From a pre-GAAP perspective, this is where you see the impact of that U.S. government and some enterprise deals actually being paused or in some cases, canceled. The pre-GAAP numbers across the globe were actually within our planned numbers for Japan, Europe and EMEA. They were not for the Americas. We were below our internal plan numbers for the Americas, and you can see that here, and that's as a result of what I was talking about earlier, some of the dynamics -- market dynamics that are going on in the U.S. in particular right now. From a recurring revenue standpoint in the enterprise at $1.3 billion, you can see it's coming from that large enterprise segment. We do have a lot of effort in October, middle of October of last year, we just introduced our flagship Vision One platform to MSP partners. So that is the way we plan on fueling the growth in small enterprises. I'm pleased to say that we're now up over 100 MSP partners transacting on that Vision One platform. It's nice to see that they're adopting this proactive security module called Cyber Risk Exposure Management. And we know when we get that landed that the ARR per customer is substantially higher at 4x. So that's our strategy, and we will start to see small enterprise get some lift off. In large enterprise, there's 2 motions that we have for 2025. Number one is we continue to harvest and mine our installed base set of accounts. 25,000 enterprise customers. We have 11 modules. Actually, if we total it up, the addressable market inside our installed base alone is $7.3 billion. So it makes sense to continue to try and expand within that. From a large enterprise recurring revenue standpoint, you can see that we're up at $1.1 billion at the end of the quarter. And the Vision One related attachments is at 73%. So we're really seeing our efforts of getting Vision One attached, that is what is driving our growth. Yes, we have some other products and whatnot, and those customers may not renew, but we are doing everything we can to get those customers moving to our Vision One platform. We're doing it by attaching Vision One to those customers. And we're up at 43%. So 10,600 enterprise customers have formally started transacting with this -- with our Vision One platform. So that was really nice. We're adding customers. This is the place we want to be adding it. It's driving that next-gen AI SOC sale, and we're seeing that the ARR is up substantially in this area. Why are we fixated on it? We know that as customers get deeper deployed within our customer base, we know that the retention rate is higher. We also know that the ARR impact is dramatically bigger. We measure it in terms of module adoption. And right now, at the end of Q1, we're sitting at 4.8 average modules deployed on those Vision One customers that we have. So we're really fixated on how do we get broader and deeper deployments happening, consumption happening within our installed base set of accounts. We have this specific module that I referred to earlier called Cyber Risk Exposure Management. And this is all of our proactive security capability. This is truly using a ton of our AI know-how. This is where we can predict the attack path that a threat actor could take, this is where we make recommendations to CISOs and to SOC organizations about where they ought to spend their time introducing compensating controls. We're up at 3,900 customers, Vision One customers with this module deployed. And what's really neat is that when this module is deployed, we know that actually we deploy even more of our Vision One platform, up at 6.4 average modules being deployed. So a really nice way of wanting this to be our first module that we get landed. This is what we do most of our trials and our POCs with. To round out the enterprise performance, we continue to believe strongly in adding some very specific cyber services, specifically, that's things like managed detection response. It's also things like automated red teaming. We're doing a really nice job. We're up at 1,700 customers now. That's growing at 26% year-over-year. That's an attachment to Vision One. We continue to transact heavily through the AWS marketplace. You can see that here, up 25% year-over-year. And one of the new things that we started to talk about at -- we introduced at the start of the year is that we would be going after new logos. We felt like we were in a spot where we could start making some investments, and we're going to do that, go after those new logos with partners. We added 250 new large enterprise logos in the first quarter alone. It was helped by global systems integrators where we're further cementing our position within those big GSIs. But it's also with our strategic value-added resellers. We've declared that we are really going to be investing heavily in a handful of strategic value-added resellers and use them as our vehicle for opening those doors up to new logos. So that's the way we will get them. From a customer standpoint, we had wins across the globe. Here's a couple of lands of some new logos with one in and around AWS, visibility across their AWS infrastructure. They wanted that and us is the largest cloud security company according to IDC. We did well to win that one at $160,000. A really nice European landing of a new logo, endpoint-specific lacked visibility, and they really wanted to see much, much broader visibility across their enterprise in that single pane of glass, that single console. In EMEA, a really nice win, compliance-oriented, which we see a lot. So support for both cloud native, but also on-premise applications and just having that all covered by a single platform was powerful. And then in Japan, visibility and compliance were the main reasons for a customer adopting our platform there and expanding in Japan. In the consumer business, there's a lot to tell here because there were a couple of different things that were going on, both of which we telegraphed at the start of the year. For the Q1 performance, net sales was down 8% year-over-year. And you can see the 2 regions. It was down in Japan ever so slightly, but it was mainly rest of world. Pre-GAAP down even further in Japan and rest of world. The reason for that is the 2 bullets on the right. We had said that we had an issue that had developed at the end of last year. We found out about it in January with our e-commerce platform, third-party company going bankrupt. This is the company that transacts our -- that processes our credit card transactions. They went bankrupt, and we needed to pivot and move away to another vendor. I am pleased to say that as of April 14, we've actually moved completely on to a new vendor, and we've started to transact that backlog of transactions. So we are fully up and going again. So working ourselves through that bankruptcy was sort of job 1 for us in consumer. The other one is something that we had talked about, which is we want to grow our top line. We want to improve our profitability. And the way we tested this and we're going to do this is by doing fewer multiyear transactions. We tested that if we do fewer multiyear transactions that it will improve the top line post-GAAP net sales. It can also improve the profitability along the way. So you will see us start to do less multiyear deals. You can see in this chart in the bottom right, actually, we did -- instead of -- we did 7 percentage points less multiyear transactions. That will impact the pre-GAAP. We feel in the long run, this will improve our net sales, and it will improve our profitability. Our strategy remains the same to create this new category, all things anti-scam. So that's really what we've been fixated on. Yes, we're continuing to do endpoint protection, but the beyond device protection continues to be our growth engine, and that's what we're fixated on. Now that we have our e-commerce platform back up and going, we will see that unfold, and we will see business resuming in Q2. Speaking of Q2, from a consumer standpoint, we have a massive backlog of renewals that we started processing on April 14. So we will see our pre-GAAP climb dramatically in Q2 and they will normalize out. So we're just catching up on that backlog of online renewal transactions that had been queued up. So we will see that happening in Q2, which gives us confidence for the consumer business back to resuming normal business in Q2. In the enterprise business, one of the dynamics that we had was 4Q1 are addressable renewal list. Remember just over half of our business is in the form of renewals and our addressable renewals is 4Q1 was dramatically smaller. So the comparable between Q1 last year was difficult. And that's what made our renewal growth lacking in Q1. We do see that improving in Q2, and a lot of that had to do with some of the deals that ended up getting pulled forward into 2024. But that is gradually moving out, and we will see our enterprise growth resume, and we'll see that coming in particular from renewals, but also new business because the chart on the right helps to explain that we have a massive amount of pipeline sitting there. The majority living in this AI-powered next-gen SOC, but we have well within our 3x multiples that we're looking for, for Q2. So it gives us confidence that we're in a good spot relative to Q2. There's no change to our 2025 guidance, and we continue to believe that we -- our north star business model of us growing the top line while improving the bottom line is the right strategy, and we are still working our way towards that. Thank you.
Akihiko Omikawa: So let me explain about the Japan's enterprise business. As a highlight, so starting with domestic enterprise business. Starting with Trend Vision One, although Japan was a lag from the other markets, but Japan too have seen the 305% increase in terms of the net sales coming from the new business. The major reason is that the customers committing with the Trend Vision One with a multiyear contract has been increasing. And with that, per customer sales or the purchase has been increasing. And the second highlighting point is that the number of the customers for the Trend Vision One is growing nicely. It's grown by 36% year-on-year. And as was mentioned by Kevin earlier, so Vision One solution, the number of customers who are implementing the multiple solutions are growing here in Japan too, increased by 26% year-on-year. As worldwide, Japan, we do have a lot of the users. So CREM SOC efficiency by appealing this point more from the existing users and the new users too, we think that there are more opportunity for us to migrate them over to the Trend Vision One, so we need to accelerate this effort. And next, this is the domestic SME businesses. As a highlight, this is something that we have been growing. But furthermore, we -- actually, we have actually achieved a 22% increase from the previous year in terms of the net sales. And UTM, it has grown sharply, increased by 39% from the previous year. In the number of customers, this is growing every quarter. And the same is true for the quarter first too. So we have seen a 2.3% increase from the previous year. And the one that started from the end of 2 years ago, that is the managed service provider partners. We have started our XDR services. and its service growth is growing nicely with 649% year-on-year growth and the number of license has increased by 28% year-on-year. Light point, the local partners, their sales is dropping. So what we would like to do is to catch it up and try to capture the volume zone. And the last point is about this consumer business. First, about the deal on Japan securities sales ratio, here in Japan is 33% now. So not only the antivirus, but integrated security sales, which covers many different products is growing and to the 27% ratio in the total sales. And the customer sales is growing as well. And anti-fraud or anti-scam solution, which we call the fraud buster here in Japan, but the customer acquisition is growing too. And the number of customers has increased to 2.3x. And for the education activities, the 40 prefectures out of 47 prefectures, we collaborate with the police agencies. And we are quite active and including the local governments, companies and the banks, we are educating the people for anti-scam and special scams. The Trend Micro name has been spreading among the local governments and companies as well. The low light is that there is a challenge to further enhance and improve the awareness of this anti-fraud solution. So that concludes my presentation. Thank you.
Q - Unidentified Analyst: I would like to ask several questions about the first question, the enterprise business in the U.S. and you have said that there has been an effect of the smaller budget by the government. We seem to be seeing that. But what was the actual size of the government budget? And do you see any room for improvement? If you could give us more detail about the government in U.S.
Mahendra Negi: Kevin, that's for you. I think.
Kevin Simzer: Thanks, Mahendra. Yes. One of the things I love about Trend overall is how global our business actually is. So the fact that we do business in close to 200 countries around the world and our 4 major regions are pretty equally sized in the enterprise business. So we have business around the globe. Within the U.S., though, your question, U.S. government specifically is approximately 10% of our overall U.S. business. So it's actually, percentage-wise, it's actually quite a small direct share of our overall U.S. business. So it is sort of not that big. But what we ended up seeing is softness in Q1 in the U.S. government business directly. But we also started to see some bleed over, some impact in other enterprises that are doing business with the U.S. government. So an enterprise transaction that we had, we had a multimillion dollar deal that was lined up for Q1, and that multimillion dollar deal was with an enterprise. That enterprise was building an offering, including Vision One cloud security for the U.S. government. So it also impacted some of our U.S. enterprise business. Going forward, we're starting to see some of the uncertainty get a little bit clearer and people are working their way through this. And so we remain optimistic, but it does represent some uncertainty that's out there as to what is going on within the U.S. government and the implications on U.S. government business and enterprise.
Unidentified Analyst: I had another question. And I would assume this is what Kevin-san is in the best position of responding to. I'm looking at Page 23, the right-hand side, this is about the enterprise pipeline you have shown. Year-on-year basis, it seems that the pipeline -- unless the pipeline is better, we will not be able to have an optimistic earnings. Are there anything that you can tell us that would give us more confidence towards the future comparing from before?
Kevin Simzer: Yes. It's -- thank you for the question. And this level of visibility that I provided here, we don't typically provide. I wanted to just -- felt it was important to give a little bit more insight as to the sort of the health of the overall business going forward. On the pipeline specifically, the number is growing. So we continue to see our marketing campaigns and our work with strategic partners continue to grow that pipeline. And as I was saying in my video presentation, I don't know if it was clear or not, but the pipeline for new business is within the typical metrics that we would look to see in terms of driving new business. So we look for about a 3x multiple, and we're well within that 3x multiple for new business across the globe.
Unidentified Analyst: In addition to that, last earnings call, the fourth quarter showed a very good pre-GAAP compared to that. Pre-GAAP enterprise I am referring to. We thought that there should be increase year-on-year. But the current situation is perhaps too strong fourth quarter has had this effect, I am guessing. And can you also give us your outlook beyond Q2?
Kevin Simzer: Well, Mahendra can chime in at the end here, but I'll just comment that, yes, from a pipeline perspective, we feel like we've got enough pipeline for Q2 to drive the new business. And when you do the year-over-year -- our business is quite seasonal. So Q4s are seasonally very high for us. So that's why we like to give year-over-year comparisons versus quarter-over-quarter. And yes, we see that the Q2 pipeline metrics look within the range. And Mahendra reiterated that our guidance for the year remains intact. Like I was saying earlier, our net sales was a little bit above our internal plan. Our operating margin was above our -- well above our planned number. And we feel like this pre-GAAP issue that we had with consumer and with enterprise, we will resume to some normalcy as the -- as Q2 and beyond starts to unfold. Mahendra, I don't know if you want to add anything?
Eva Chen: This is Eva. I just chime in. I think I understand that all the analysts and investors are trying to get some clarity of the future. But truthfully, it's really hard for any company to have very clear future view of how the economy is going to be and how the tariff or the exchange rate change will impact any business. So it's just -- I want to say is that initially, I believe investor invest in Trend Micro is because of our post GAAP that is composed with a lot of renewal business that provide the stability and predictability of our revenue. So if you look at our post-GAAP and our guidance is for this post GAAP. But if you look at pre-GAAP, then that's I think a lot of the original reason that you probably want to invest in Trend Micro, which is that stability of the revenue. But we try our best to make sure that our guidance are intact. And -- but I just want to say, please, it's just overall the whole world is not sure about the future and pricing Trend Micro to commit even more is not quite there.
Koichi Habara: Excuse me, let me add my comment. About this government-related business, the impact to the government-related business. I presume that probably the Trump tariff policy, probably you may think that, that is causing the challenge. But actually, that is not the case, the department of government efficiency seems like there is a revisiting of the business carried out by the government. And that is no stronger impact to our business. And that is rippling effect to the private sectors. That is the background, not the tariff policy, but more of the DOGE-related efficiency effort by the government impacting our business.
Hideaki Tanaka: Tanaka, Morgan Stanley. You have just provided a supplemental comment, but it's still not so clear. Your company for U.S. the percentage of government is small. And so private businesses are trying to reduce investments indirectly due to -- through their government. But if this has to do with security, which is very important, it doesn't make much sense that they might want to reduce their budget size. Also for each region, there may be some impact of the consumer. But on the whole, it seems that Europe, APAC, pre-GAAP seems to be weaker -- weakened. Maybe if there were concentration. But in fourth quarter, local currency plus 18% Y-o-Y. I don't think that there were any special factors. So can you tell us if there are any relationship between the strong fourth quarter and the weaker first quarter?
Kevin Simzer: So there were -- I think that was a 2-part question. And yes, Habara-san did a nice job of trying to clarify my comments around the impact of the U.S. government. So there's 2 different programs within the U.S. government. One is the tariffs and trade issues, but the other is DOGE and some of the moving budgets around postponing, canceling some projects, et cetera, et cetera. That does impact directly U.S. government, but it's a small part of our overall business. But it does impact enterprises because many enterprises in the U.S. also supply services to U.S. government. If those budgets are frozen or canceled in the U.S. government, the enterprises are impacted. So that's why the impact to our overall U.S. business was both in U.S. government and enterprise. And I'm sorry, the second question was...
Mahendra Negi: Whether the Q4 Trend caused -- had some impact.
Kevin Simzer: Yes. And we did see -- and I tried to explain that with our overall renewal business. We did see as a result of finishing very strong, customers had an appetite to actually buy at the end of the year. We did see some pull forward. Some renewals end up pulling forward from future -- from Q1 into Q4 of 2024. So that explains some of the hyper growth that we saw in Q4. In the U.S., for example, we were up 24% year-over-year in Q4. So it was a substantial pre-GAAP increase in Q4. So we did see some deals pull forward. And that's where I was talking about, we will start to see that normalize out as Q2 and Q3 unfold.
Hideaki Tanaka: So Q4 was extraordinarily strong, and you expect normalization going forward. The second question, Kevin-san, and you have talked about this before. We do see multiyear deals. Omikawa-san talked about how in Japan, the comprehensive multiyear deals are increasing in Japan. Thank you. My question has been answered.
Operator: So let's hear from the next person.
Satoru Kikuchi: From SMBC Nikko Securities, my name is Kikuchi. So I understand that there is no changes to the shareholder return policy. Is that correct? So it seems like this is a little bit difficult to ask this question. But you mentioned that you may consider doing the share buyback at the good timing when you are making announcement at the year-end. So I just want to know there is no changes to that policy.
Unidentified Company Representative: No changes to that policy.
Operator: Are there any other person with questions, please? I am not seeing anyone raise his or her hand.
Unidentified Company Representative: You are eager to move on to NTT Data briefing, right?
Unidentified Company Representative: The entire company, including MC.
Unidentified Company Representative: I still have time, so let me add. If you focus only on pre-GAAP numbers, we are seeing larger projects. So recently, there will be more ups and downs. So post-GAAP and ARR provide more easy to understand explanation to what's actually happening, perhaps.